Marie Inkster: Thank you, operator, and thank you, everyone, for joining Lundin Mining's First Quarter 2021 Results Call. I would like to draw your attention to the cautionary statements on Slide 2, as we will be making several forward-looking statements throughout the course of this presentation. On the call to assist with the presentation and answering questions, are Jinhee Magie, our Senior Vice President and Chief Financial Officer; and Peter Richardson, our Senior Vice President and Chief Operating Officer.
Jinhee Magie : Thank you, Marie. During the quarter, our operations produced nearly 102,000 tonnes of base metals and approximately 34,000 ounces of gold. We sold over 91,000 tonnes of payable base metals and approximately 33,000 ounces of payable gold generating revenue of over $680 million. As the market price for our core metals we produce continue to increase, there was aggregate positive pricing adjustment this quarter. The positive impact on revenue from settlement of prior period sales was over $22 million. A large portion of the settlement occurred earlier in the quarter meaning that the pricing was due this time.  First quarter revenue was also impacted by the timing of sales with the delay of Chapada resulting in a shipment that was scheduled for March scaling in the first week of April. At Chapada, we ended the quarter with over 18,500 tonnes of finished concentrate. 
Marie Inkster: Thank you, Jinhee. So, moving on to operations in Candelaria on Slide 7. Candelaria performed well in the quarter. It produced over 34,200 tonnes of copper and 21,000 ounces of gold at a cash cost of $1.65 per pound of copper. Tonnes milled, ore grades and metal recovery rates were all in line with our plan. Ore processed is over 6.9 million tonnes and that’s included the impact of maintenance done in February on crushing and the mill circuits. 
Peter Richardson : Thank you, Marie. Moving to Neves-Corvo on Slide 11. First quarter production totaled over 7,400 tonnes of copper, over 14,700 tonnes of zinc and nearly 1,100 tonnes of lead at a cash cost of $2.61 per pound copper.  Zinc production was impacted early in the quarter by radial realigner replacement we scheduled for late 2020. The zinc mill key grade was also lower than plan as mining was resequenced from Lombador zinc to complete rehabilitation. Mine development rates continued to improve in the quarter. Our contractor continued to mobilize resources and between the contractor and Neves-Corvo team development steadily increased month-on-month. 
Marie Inkster: Thanks, Peter. Lastly, the operations on Slide 15, Eagle had an excellent first quarter, both the mine and the mill performed slightly above plans. As a result, first quarter production was over 5300 tonnes of nickel and nearly 5400 tonnes of copper at an impressive cash cost of negative $1.62 per pound of nickel.  Operating cost in aggregate and on a per tonne milled basis were in line with plan, while cash cost benefited from better than forecasted copper byproduct prices and volumes.  With minimum CapEx of $3.5 million, Eagle generated over $70 million of cash in the quarter. Considering the strong start to the year, we have increased our nickel production guidance to 17,000 to 20,000 tonnes from 15,000 to 18,000 tonnes. Copper production guidance has been reiterated.  Similarly, to this 2021 cash cost guidance has been improved to a negative $0.25 per pound of nickel from $0.50 previously as a result of the exceptional first quarter and revision of our copper byproduct price forecasts. We are now forecasting $3.75 per pound of copper for the remainder of the year from $2.95 previously.  We anticipate spending more this year on underground development and drilling including extra meters on the western extension of the Eagle east ore body. We have increased our 2021 full year sustaining capital expenditure guidance by $5 million to $20 million. With the production profile, current metal prices and low annual CapEx, Eagle is well positioned to generate significant free cash flow in coming quarters and years.  On Slide 16, a summary of our current guidance as discussed in the operational section. And the table on the left as discussed, we are making improvements to Eagle’s nickel production and cash cost guidance and reiterating production and cash cost guidance at all other operations. We have made a minor addition to 2021 capital expenditure guidance of $5 million.  Our original estimate of $610 million with the $5 million increase at Eagle being attributable to underground development and drilling. Full year exploration expenditure guidance remains at $40 million including the early April acquisition of exploration licenses, approximately $14 million is to be spent at Chapada, the $6 million has been reallocated from corporate and new business development expenditure to the Chapada.  While we have not experienced significant disruptions to production, shipments of concentrate or supply chain due to COVID-19, we continue to caution that our guidance does not reflect to any potential suspensions or other significant disruption to operations due to COVID-19.  Turning to Slide 17, we have an excellent growing production profile from our current assets with clear exploration potential to expand or extend mine life at almost all of our operations. We have reiterated our 2021 copper production guidance with a midpoint of 287,000 tonnes.  Zinc production is forecast to modestly increase in 2021 as the zinc expansion project is completed and fully ramped up, zinc production is set to increase 65% in 2023, compared to 2020 and be roughly 230,000 tonnes per annum.  Gold production is forecast to be175,000 ounces at the midpoint of guidance for this year, of which nearly 110,000 ounces are unencumbered and we see full market pricing.  Lastly, on Slide 18, the investments we have made over the past several years have positioned Lundin Mining very well, benefit from the current stock commodity price environments with multiple years of strong production, leading cash cost and free cash flow generation ahead. We are in a strong financial position and expect to finish the year in an even more enviable one given the current robust metal price environment. We will continue with our objective to create value by investing in low-risk, high return opportunities in our own assets. The core aspect of our capital return strategy is our regular dividend. Our policy aim to ensure a regular dividend is sustainable throughout the cycle and can be progressively increased as the asset base improves and grows.  We have maintained our $0.06 per share quarterly dividend and expect to provide an update in July on the conclusions from the review of our dividend policy which is currently underway.  And with that, operator, I would like to open the lines for questions. 
Operator:  We have our first question from the line of Greg Barnes from TD Securities. Your line is now open. 
Greg Barnes : Thank you. Marie, a couple of questions. On the guidance, and I know you reiterated we had a fairly weak start variables expected in Chapada, I guess, as expected. But are you targeting the low-end of the guidance range now or is the high end just going to a stretch? 
Marie Inkster: I would say in general that we are targeting the mid-range as we were at the beginning of the year. We were performing where we expected to for Candelaria. We are slightly behind by – within just around the 1000 tonnes of our plan for copper at Chapada. So, we are quite confident in the guidance there. And so, we are still – we’d be targeting the mid-range. 
Greg Barnes : Okay. For Candelaria, you are going to have to see a meaningful step up in grade and it’s 0.53 in Q1 and I think it will get to the low-end of the range I have to put it in 0.7 for the rest of the year. Is that along the line what we should be thinking? 
Marie Inkster: So, the grades will be back-end loaded and we do expect the second half to be conservatively better than the first half, probably some modest improvement in Q2.  But really it’s the back end of the year where we’ve seen a significant increase and I would say that, in terms of the grade going back to our technical report towards the 6.4, 6.5, Peter, correct me if I am wrong, for the year which we would currently expect to have something in that range. So, yes, we do have an expectation for fairly good grades and then in the back half of the year. 
Greg Barnes : Okay. I just want to touch on formation of this new zone at Chapada given the grades there, obviously, you had no idea how much of those new but, in terms of the options you are looking for Chapada, could you be looking at a new mill or an additional mill in another location midway between the current plant and wherever else substantial tonnage? 
Marie Inkster: Yes. So right now, Formiga is early stages and it’s pretty exciting. We didn’t really want to release any results prior to this because of the land auctions and the area that’s continuing on trend to the southwest of Formiga we were able to acquire that in the auction and that was one of our high priorities. So, we’ll obviously do more and have more information on Formiga.  But the current studies are not looking at like a midway type of plant. It’s really looking at the existing resource and if you see the – one of the really key areas and that was the number one priority, it’s hard to see on the map because it looks like just a thin line, but it’s the extension of a copper sore. There was a small band of property there that constrained us in terms of the continuation of the south pit.  And so that is removed and we expect that to have a good influence on our R&R for the year and - but right now, we are working on the drilling in and around is giving us really good results with the existing. So the existing expansion is looking at one of the possibilities is a new plant but it is located in the area of the existing footprint.  So, that’s what we are looking at the moment and you can see, wherever we put a drill hole there, we seem to be finding good mineralization. So, the challenge is to find places that don’t have, so that we don’t end up putting infrastructure on mineralized zones. 
Greg Barnes : Okay. Great. Thanks. 
Operator: Thank you. Our next question is from the line of Jackie Przybylowski from BMO Capital Markets. Please go ahead. 
Jackie Przybylowski : I just want to touch on the difference between your production and your sales in the quarter. Can you talk about, I think a different thought as Chapada maybe more nickel price, but it looks like you got a few operations.  Can you talk about any kind of shipment finding issues and if we should be expecting to see those being caught up next quarter or if there are some other sorts for that difference between sales and production? Thanks. 
Marie Inkster: Yes. So there will be always some based on pay ability and in particular for nickel when you look at the production versus the sales. And in terms of our inventories, we were carrying higher than typical inventories at Chapada as you’ve noted, but also at Neves I think we had a quite a bit of balance there.  And we did have a couple of shipments though in early April that we had expected to go in March, four that was to operations and so those were really where we were seeing the deinventory levels. 
Jackie Przybylowski : Okay. So, it’s actually have already kind of been result I guess, it’s the shift summary look?
Marie Inkster: Well, we always target to have low inventories at the quarter end. So, I think where we are seeing challenges right now is in the South American, mostly Brazil, seaborne freight is that the spot prices are quite higher than the long-term prices under contract of the freightment.  So, getting these vehicles into port when you expect them has been challenging just because the providers are trying to take as many spot contracts as they can. So, that was part of the challenges, the vehicle availability for the quarter. 
Jackie Przybylowski : That makes sense. Thanks for that color. Can I ask you another question on Eagle east? I think you mentioned in your preamble part of the call that you are looking at more drilling there, especially on the – I think you said western extension of Eagle east, we kind of expecting that Eagle was – or what your exploration opportunities there were probably gossip. Can you give us a little bit more color on what you are drilling for there and how these new areas sort of came to life?
Marie Inkster: Yes, so I think where we are exhausted is on the expectation that we would find a considerable regional play or something that’s going to double mine life kind of thing. But like last year, we continue to drill on extensions to see if we can add a few months here, a few months there, because given the probability of this location, every little bit adds significantly. Peter, did you want to give some color on what we are doing here in the various zones? 
Peter Richardson: Yes. So, as we said, Marie, we are drilling on the zones at the edges of the known ore body at Eagle east and just kind of identifying to find potential continuation and adding tonnes and as you said Marie, months, if you add a month, here and there, that's all profitable. So, that’s what we are trying to identify. We know that there is – there is a mineralization just we need to identify and make sure that it’s enough to be mineable. So that – we are just following there they are known. 
Jackie Przybylowski : Okay. That’s great. Thank you very much. That’s all my questions. 
Operator: Thank you. Our next question is from Orest Wowkodaw from Scotiabank. Please go ahead. 
Orest Wowkodaw : Hi, good morning. Could we get a bit more color on sort of the operational update at Neves-Corvo, specifically around the great profile and the sequencing for the year? It seems to me that the grades were fairly low in the first quarter and just wondering if we should expect that the kind of progressively improving zinc and copper grades as the year go on and or whether there is some variation there. 
Marie Inkster: Sure. And there will be variability and others depending on which zone. So, I think we’ll follow the typical pattern that you see there where we historically have had a bit of a slow start to the year than Q2 is typically good and this is for both of the European operations.  Q3 is usually a bit of a slow quarter given especially in Sweden, everybody disappears for the summer and then we have a strong Q4. So, I would expect an increase for Q2 and Q4 in the grades. Peter, did you want to expand on anything there? Maybe for zinc business as well? 
Peter Richardson: No, we have our mine plan. We are following that mine plan sequence and we know that the grades aren’t content and the same. They will be going up and down depending on stopes sequences. But as we said, Marie, we should be expecting our plans higher grade throughout the year and for Neves-Corvo and also a slight increase in the grades for Zinkgruvan, as well and then on mine sequencing. 
Orest Wowkodaw : Okay. Thank you. And if I could also ask just on your corporate strategic priorities, I mean, you are already at a net cash position. You’ve already mentioned that your dividend policy is going to be reviewed by July.  But I am just wondering given the Chapada expansion from call it a CapEx perspective, it still feels like it’s a few years away. How big of a priority is M&A right now for Lundin Mining and do you see room to add another asset into the portfolio perhaps for you are ready to build Chapada expansion? 
Marie Inkster: Yes. So, in terms of our capacity to do a deal, we definitely have the capacity to do a deal. Our M&A – our corporate development team has been working extremely hard and been very busy because there are a lot of different processes and a lot of interest happening behind the scenes, but for us, we don’t see anything out there that we could acquire that would be accretive for shareholders or would upgrade our portfolio and put us in a better position.  So, well, we have a lot of capacity, we do not see the opportunities that we would want to see. So, we don’t have anything on the front burner there. So, I wouldn’t expect us to be looking at any acquisition.  So we are really focusing on capital allocation, dividend strategy and as you say it will be sometime before we have to put money into Chapada expansion. And we’ll have the cash flows in order to support that. So, M&A right now is not looking like there is opportunities that would add value for us. 
Orest Wowkodaw : Thank you. 
Operator: Thank you. Our next question is from the line of Abhi Agarwal from Deutsche Bank. Please go ahead. 
Abhi Agarwal : Yes. Hey, morning all. Thanks for the presentation. A couple of questions if I may please. Peter, you talked about action plans to further improve productivity. Is this a normal standard post the COVID stoppages or is it something underlying? 
Peter Richardson: Sorry. I was on mute. The productivity that I was speaking today was the mine productivity. So, we have been working hard on improving mine productivity to increase – hold on to development and the availability of ore. And so, that is something that we continuously work on and push hard in the mine. 
Abhi Agarwal : Got it. And one more question if I may please? There has been some news flow around disturbances in Chile. Have you had – have you – do you foresee any impact from those at Candelaria? 
Marie Inkster: We haven’t seen – I know the latest one of course was the Stevedores went on strike at various ports. So some the ports you need to operate normally. Some of them did go on I think it was a half day plus a day. So five shifts I think it was five shifts that the ports went on strike. They are back to normal activity after that strike period. Our port workers did not participate in that strike. But the port of Candelaria did which is where we would receive our diesel.  But no impact to us from that short duration strike. There is another strike that's been called generally by National Workers Association is called for national strike this Friday. Our unions are not associated with this group. But we would expect there would be disruptions within the communities similar to November 19, International Day of Action and a number of groups went on strike.  So we continue to expect to see lead up to the elections more political activity and – but at this point, we don’t see any major disruptions for us. 
Abhi Agarwal : Got it. Thank you very much. 
Operator: Thank you. The next is from Jack O'Brien from Goldman Sachs. Your line is open. 
Jack O'Brien : Great. Thanks. Good morning everyone. First question, yes, just following up on the capital allocation. I just want to make sure I have the kind of order in mine. So obviously we’ve got kind of completion at ZEP. I am alright in thinking the next, obviously you’ve got a variety of opportunities across the portfolio.  But the next would then be most likely to be Chapada and then, followed up potentially by this expansion on the ground at Candelaria. Is that the right sort of – in terms of kind of prioritization of how you deploy your capital? Is that the right way of thinking about it?  And then, secondly, to one of the previous questions on Chapada expansion potentially being as few years down the track, I mean, when, if you were to go ahead with that, when would the first expected production come through? 
Marie Inkster: Yes. So in terms of priority, I think that’s probably correct I mean, ZEP there is not a huge spend for ZEP and it’s happening according to plan, equally funded from cash flow without – with still a lot of excess free cash flow. And then of course the studies for Chapada, in terms of the queues up at Candelaria, we expect to finish those studies this year, but we are not expecting that we would have a go decision on that this year.  We do expect to see a good viable project there. But our focus is going to be on taking cash from the operations we’ve had a period of heavy investment there over a number of years. And so, we would like to reestablish the baseline due our post-investment review that we do for all of our investments – major investments and focus on cash flow generation and returning cash to the partners.  So, that one will probably put on hold and reassess that in coming years, but not at the point of approval this year. Chapada, where we are working through the studies. I think we’ve guided consistently that we would be coming to a decision probably early next year. We are trying to accelerate that, but we are going through the steps to do that and then, we would have to move to looking at the timelines then. But, it’s not going to be a start of construction in 2021, but it’s for certain. 
Jack O'Brien : Got it. Okay. Thank you. Second question, a few investors are obviously kind of keeping an eye on the tax situation in Chile and I know there is always one or two headlines and perhaps a difference between reality and what’s said. But any comments there? 
Marie Inkster: Yes. So, this is one also that we’ve been following very closely. Obviously, there has been more discussion and activity around this. We are not surprised in the lead up to elections. We expected that there would continue to be a lot of noise. There were proposals raised back a few months ago and a couple of days ago, obviously there was a proposal that came from the mining and energy committee of the chamber of deputies with an extremely punitive tax structure on mining.  So, and this, on top of the existing flooding scale, which is the 5% to 14% depending on your margins. So, I think you’ll hear a lot more on this that will probably go through finance committee and assembly and get raised to senate. There will be a lot of rhetoric. There are electoral promises and it’s very politicized right now. Everyone wants great favor with the electorate.  The government has stated it has no plans to introduce new taxes during their mandate, which of course, the elections are in November. So we expected to hear different things coming out. We believe that the mining sector’s contribution is broadly known and appreciated not just by the right, but by the mainstream left as well and it’s pretty clear that this type of tax scheme would be very damaging to the industry and really make investment projects in Chile very difficult.  No one is going to take on a multi-billion CapEx project with no potential for our side. It’s just – it’s going to put a lot of projects at risk there. So, other countries have tried so many things like this and locked them back very quickly. We think it’s a lot of rhetoric at the moment and we expected it. But we continue to monitor with the industry groups.  We are in contact with the mining council and basically we will watch with interest. But I think the potential harmful effects of this are very well known. I think the finance minister just gave the finance report stated increases in the copper price is combined with the increased economic activity.  And will reach them to about a 6% GDP growth this year and that the finance – the revenues coming from copper are expected to be able to allow them have the stable debt levels despite stimulus spending. So I think the industry has worked hard throughout the pandemic to keep producing and people recognize that the huge factor in keeping Chile ahead of its neighbors.  So, we’ll continue to watch with interest and as we’ve said in the past, we expect that there would be new taxes at some point and that they will be reasonable and not huge as to the industry. 
Jack O'Brien : Great. And then, one just final brief question. Chapada, the ore mills during the first quarter, you mentioned in the presentation very, very strong level. Just wondering if that say sort of sensible level we could now come to expect going forward or do you think that was slightly up, normally high perhaps the catch-up from the fourth quarter? 
Marie Inkster: No, I mean, we’ve got some good operation in the mill there now. I don’t think we would expect to have any drop offs. And we’ve actually just during the quarter commissioned the mobile crusher. So, - and Peter, any color on that?
Peter Richardson: No. I think it’s – now it’s according to what we’ve planned. So, little bit better than what we’ve planned and what we aim to push the tonnes. So, I think it’s the same – similar. 
Jack O'Brien : Great. Thank you very much. 
Operator: Thank you. Our next question is from the line of Daniel Major from UBS. Please go ahead. 
Daniel Major : Hi there. Thanks. A couple of questions. First one, at Chapada, you processed more from the stockpile. Does that mean you are behind on the mining schedule? And need to catch up due to the rains or is it more of a logistical issue? That’s first question. 
Marie Inkster: Yes. So, it is there in terms of the rainy season and it was a particularly rainy February. So, that meant not only that we would have excess water, but the amount of the operation days were less. So we were carrying more water than we typically would. So, basically as we go through the year, we’ll be able to access the areas that we didn’t lack with queue. And – but our mining rates were according to plan. 
Daniel Major : Okay. Thanks. And then, second question is, perhaps asking the same question slightly from way around the timing of the Chapada expansion and news flow et cetera. So, two part, I mean, your mid-year annual reserve resource update, I am assuming you are expecting to release a meaningful increase in reserves and resources on the basis of drilling that you’ve done today – over the past twelve months.  And secondly, you previously suggested you could release a study on the expansion fourth quarter of this year or early next year. Is there any change to that timeline? 
Marie Inkster: No change to the timeline and we do expect to have some good results to incorporate into our R&R. And what’s weren’t in R&R is the near-mine and the grade. So we can add tonnes. But right now, it’s a very long mine life. So adding ten years at the end of 40 years doesn’t really move the needle. That will be important to identify near-mine sources that we can bring in sooner than later. And so that’s where we feel we will have some success. 
Daniel Major : Okay. Great. And then, just one more question on a perhaps slightly conceptual one, but at this stage of the cycle people calling for some regime change in the higher forever kind of copper price. How are you, as a company looking at your assessments of how you review capital allocation going forward? Are you considering following that rhetoric and putting $4.50 in forever. How are you looking at that and what’s your process for reviewing how you feed in commodity price assumptions to impact capital allocation? 
Marie Inkster: Yes. So we have not just that $4 scrubber into our model. And – but we will look at different scenarios. We typically would run upside, downside and base case. And at this point we haven’t changed our long-term copper price assumption. But when we look at the possibilities we’ll look at different scenarios and we are fairly conservative as you probably saw from our F1we forecast of our C1 byproduct.  $375 copper for the year, $1.15 zinc and it’s fairly conservative I think in terms of pricing as compared to where we are. So, we like to think it’s higher for longer. And there is differing opinions on that and we’ll be optimistic but conservative as we typically have in the past. 
Daniel Major : Great. Thank you. 
Operator: Thank you. Our next question is from Lawson Winder from BofA Securities. 
Marie Inkster: Hey, Lawson. You might be on mute. 
Lawson Winder : Do you guys hear me now? 
Marie Inkster: Yes. 
Lawson Winder : Okay. Great. Thanks, Marie. Good morning and yes, thanks for the update. Just more specifically on the September R&R update, would it be fair to assume that reserves at Chapada could be replaced, first of all? And then, secondly, should we expect an initial resource that Formiga and could that – would we be looking at inferred or M&I level resource? Thanks. 
Marie Inkster: Well, on the first one, yes, definitely we should be able to at least replace mine and expect to - fully expect to do that. And Formiga, I think it’s a little early on the resource there. 
Lawson Winder : Okay. Great. And then, on the exploration budget, Marie, you mentioned that that $6 million have been reallocated from corporate to Chapada. So does that mean that Chapada’s exploration budget for this year is now $14 million plus $6 million, so $20 million? 
Marie Inkster: No. It’s the $14 million. 
Lawson Winder : That’s still the $14 million. And would you expect spending that by the June 30 R&R cut-off?
Marie Inkster: Spending the $6 million or? 
Lawson Winder : No, the entire $14 million.
Marie Inkster: No, not the full amount. No, we will continue with the drilling throughout the year. So, it will be even spend for the rest of the year probably. 
Lawson Winder : Okay. 
Marie Inkster: It’s a little light in the first quarter just because of the rain. It’s harder to get the meters. But we’d usually pick up kind of mid-year and have a very good back ends in terms of drilling. But we’ll continue to drill there and do as much drilling as we possibly can throughout the year and if we can spend more than that budget, we will. 
Lawson Winder : Okay. Great. And then, just one final question on the guidance more specifically to gold production. At Chapada, one, could you remind us are the gold grades positively correlated with the copper grades? And would it be fair to expect a very, very material pick up in the gold grades in Q2, Q3 and Q4 at Chapada? 
Marie Inkster: Yes, I wouldn’t say there is a direct correlation. I mean, there is areas that our gold – like gold rich and areas that are copper rich. So, there is not a direct correlation in terms of the grade. What we do see is, obviously, with the – with stockpiles there will be a recovery that you’ll see the recovery on the material will be difficult on both gold and copper.  So, that’s definitely the case. And in terms of the gold, I am just trying to think in terms of the – we do have a pick up in the year on the gold grades, as well and in terms of being better in the back half than it is in the first half and that’s just accessing different grades at the pits. But we do definitely see an uptick there. Peter, any color you want to give there? 
Peter Richardson: No, as you say, there is no direct correlation. But – and, but we are also expecting an uptick back in for the year on gold grades. 
Lawson Winder : And so, that – then you are confident in meeting that gold production guidance for Chapada, sorry, the middle of that gold production guidance for Chapada? 
Marie Inkster: Yes.
Peter Richardson: Yes, we are. 
Marie Inkster: Yes.
Lawson Winder : Okay. Okay, thank you very much. 
Marie Inkster: Yes.
Operator: Thank you. Our next question is from Stefan Ioannou from Cormark. Please go ahead. 
Stefan Ioannou : Okay. Thanks guys. Thanks very much for taking the question. Most of my questions have already sort of answered, but just maybe curious on the timing of sort of thinking from an M&A point of view. And you mentioned you haven’t really seen a lot of accretive opportunities out there. Just wondering, can you comment if the focus has been on sort of copper specifically?  Or are you sort of metal agnostic and I am just sort of thinking about you are keeping – maintaining a diversified profile going forward with Eagle coming off over the next three years if there is any sort of additional focus on bringing another nickel asset and adding to the mix? 
Marie Inkster: Yes. I think we do have a focus on copper and that would be first priority. But we would look at other things as well and we have looked at other things, as well, whether it be zinc or nickel. And but we are just not seeing assets that would be an upgrade to our portfolio and be accretive for shareholders. 
Stefan Ioannou : Okay. Okay. I’ll leave at that. Thanks very much guys. 
Marie Inkster: Okay, thanks. 
Operator: Thank you. The next one is from Dalton Baretto from Canaccord. Please go ahead. 
Dalton Baretto : Thanks. Good morning, Marie and team. A couple of questions from me. I want to start by kind of picking up on that Chile spread there. You discussed the proposed tax changes in some detail, but what about from a broader constitutional with one perspective? Are you seeing anything there that gives you concern? And how insulated are you by your stability agreement? That’s my first one. Thanks.
Marie Inkster: Yes. So, the elections for the constitutional assembly were put off. So they are not happening until May. They are originally supposed to happen in April, but they were put back because of the increase in the COVID cases and they will be held on May 15th and 16th. So we don’t expect any further delays to hat timeline nor for November.  So, on that – there is kind of this, but there is basically the right candidates which are center, right, there is a center left and then there is a more extreme left. And we’ll really have a better idea after the May elections to understand where that constitutional assembly will be. But there is a lot of rhetoric from all sides at the moment.  And so, I think, it was a month from now, I would have a better – I would have a better feeling for the types of things that we might see coming out of the discussions. But the constitutional assembly timeline is still the same. So, the elections have been pushed back in line but the expectation to deliver a new draft constitution and should have that reviewed and voted on is still the same and that won’t happen until mid next year.  But we should have some kind of indication as to what might be in that based on the composition of that assembly and we won’t know that until mid-May. 
Dalton Baretto : Okay. But from your stability agreement perspective, I guess, until you know what’s in there, it’s hard to say what you are entering, I guess?
Marie Inkster : Yes. So, our stability agreement should protect us against any new taxes until the end of 2023. So, commencing in 2024, we could be subject to new taxes there. But we do have protection until 2023. 
Dalton Baretto : Okay. Great. And then just, maybe switching gears a little bit, I think your disclosure flagged localized COVID-19 outbreaks near Candelaria and Chapada? How much of a concern is that? 
Marie Inkster : I would say, for us it is a concern, it’s more of a concern at the moment in Chapada than it is in Candelaria, because, Candelaria Chile has made good progress nationwide on their vaccines. So, they’ve got half of the population has had at least one dose and probably about a third has had a second dose. So, we do see – that vaccination program should start to stabilize the case bubbles and we should see them reduce there.  At Chapada, it’s different. The national campaign is moving quite slow. Not a lot of doses given. I think only less than 15% of the population right now has the first dose. And locally we are still trying to assist with getting vaccinations, but the availability to supply vaccine is not there. So that’s the one where we are concerned. We have had our site doctor and our nurses vaccinated.  But in large part, the community and the workforce is not vaccinated there and it’s uncertain when we might get that. So that is – we don’t have any concerns about vaccine resistance. People want to receive it. And - but we are thinking that the general workforce right now it’s probably – at least, second half before we can have them vaccinated. 
Dalton Baretto : Okay. And then, I guess, my last question, I just want to pick up on something you said on the Candelaria on your ground internal fees that you're looking at. I think you said you expect if you sell project, you don’t expect to move forward on it. What’s the argument they are not moving forward, I mean, just given where your balance sheet sits?
Marie Inkster : Yes. So, I think there is a few things. We have just gone through a heavy investment period in Chile. We would like to reestablish the base case and to do post-investment review on the investments we have done.  There are a number of – and Jinhee could speak to this more eloquently than I, but some tax withholding tax credits and other tax credits that will disappear within the next year or two, that we would like to take advantage of and taking advantage of those tax credits and we feel that with the political uncertainty embarking on a very high CapEx project.  It’s not $1 billion, but it’s not under $100 million either. So, big CapEx projects in a time of uncertainty on tax regime. It’s probably not a good decision and we are not pressed to – we have good production and we have growth in other areas. So, it’s not like we are desperate to see that increase. So, prudency and just being careful and taking advantage of some tax credits that are disappearing. 
Dalton Baretto : That’s great color. Thank you, Marie. Good luck guys. 
Marie Inkster : Okay. Thanks. 
Operator: Thank you. There are no further questions at this time. I will now turn the call back over to Ms. Inkster. 
Marie Inkster : Okay. Thank you very much operator and thanks everyone for joining the call today. In summary, our operations are performing according to plan and we are expected to deliver on all of our guidance this year. So, we feel very well positioned and we looking forward to our next update in July. Thanks everyone. 
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Have a great day. 